Stephen Clarke: Right. And I'm pleased to tell you that we've had a good first half across the group, with total sales of GBP 643 million and profit before tax of GBP 82 million. We've also had a good start to our second half, so we're confident in the outcome for the full year. The distinct strategies for each of our businesses continue to deliver. In Travel, we've seen another period of a good like-for-like sales growth in our U.K. business, helped by the ongoing improvement in passenger numbers, but also by our initiatives to drive profitable sales. This is particularly pleasing as we're now into our fifth year in a row of strong like-for-like sales growth. Meanwhile internationally, we continue to be very successful in winning new business. In fact, this period this year, we have won 26 new units, which is a bit of a record for us. This strong growth in Travel over the past 5 years has transformed the WH Smith group now into a very travel-focused retailer. As I told you the last time I saw you, Travel now accounts for over half our sales, and this year, it will account for nearly 2/3 of our operating profit. Indeed, in the second half when Travel has its peak period, Travel will make more profit than High Street does in the full year. And that's another milestone for our Travel business. However, having said that, High Street is still an important part of the group. It remains in good shape despite the challenges of the U.K. High Street, as our strategy, which is focused on sustainable profit and cash generation, continues to deliver. High Street profits for the half reflect a tough Christmas in books where we had nothing like the humor book craze that we had last year. In Travel and High Street, we've been more focused on investment, both in new opportunities and in evolving our customer proposition to help us deliver future growth. Meanwhile, we continue to be very disciplined with our capital allocation through a progressive dividend policy and returning cash to shareholders. And we've today announced that the interim dividend is up 10%, reflecting the board's confidence in the future prospects of the group. As always, value creation for shareholders remains central to our plans. And so we'll continue to focus on profitable growth, cash generation and optimal use of cash whilst investing for the future. And as you've come to expect from us, we will continue to manage the business tightly. So I'll now hand you over to Robert to do the numbers.
Robert Moorhead: Thank you, Steve. Good morning, everybody. Let's start off with the group financial summary. The group produced a good performance in the 6 months period to the end of February. Total group revenue at GBP 643 million, which is same as last year, with group like-for-likes down 1%. Profit from trading operations at GBP 91 million was down GBP 1 million, a 1% decrease compared to last year, with group profit before tax also down 1% at GBP 82 million, reflecting the changing shape of the business towards the second half as Travel continues to grow. Earnings per share decreased by 1%, reflecting the lower PBT, a higher tax rate and a lower weighted average number of shares in this year, in the current year as a result of the return of cash to shareholders. We expect the full year average weighted number of shares to be around 110 million. The effective tax rate was 18%, in line with guidance, and we expect the full year effective tax rate to also be 18%. Free cash flow generated in the period was GBP 39 million compared to GBP 44 million last year, and I'll come on and talk about the cash flow in more detail later. The board has declared an interim dividend of 16p per share, an increase of 10%, which reflects the good business performance, our strong cash generation and our confidence in the future prospects of the business for the full year and beyond. As usual, we expect to have the interim dividend accounting for around 1/3 of the total dividend for the year. So turning first to revenue. Overall revenue was GBP 643 million, in line with last year with like-for-like revenue down 1%. It was another strong performance from Travel, where total revenue is up 7% from last year to GBP 308 million. This came from new space in international in the U.K. and like-for-like revenue, which was up 3%. U.K. air, rail and hospitals all performed well in the half, reflecting our initiatives and passenger numbers. Outside of the U.K., we saw good growth in our international business where total revenue grew by 18% to GBP 59 million as we delivered like-for-like revenue growth of 4% and opened additional directly run stores in, for example, Rome. As expected in the High Street, like-for-like revenue is down 4%, while total revenue was down 5%, which includes the impact of changes in space. The performance reflects that there was no big publishing trend to match last year's strong spoof humor books. So looking by category. Stationery like-for-likes were up 3% with a good performance from new product development and a number of our seasonal categories. Books like-for-likes were down 7%, market performance continues to vary by category, and our books performance was impacted by the lack of a big publishing trend this year. News and Impulse like-for-likes were flat. We've seen a good performance from continued developments of our Impulse categories, which is offset by a sales decline in magazines. All the 3 categories saw an increase in gross margin comparable to last year. So turning now to group profit before tax. Travel has produced another good performance with profits up GBP 2 million, a 5% increase on last year. Profit growth has been achieved through sales growth, margin growth of around 140 basis points driven by mix and good cost control. International profit was GBP 4 million in line with last year and includes around GBP 1 million of setup costs relating to new stores, particularly Singapore. High Street profits were GBP 50 million, in line with our latest guidance. We continue to deliver margin growth of around 80 basis points and cost savings around GBP 7 million in the half. We remain on track to deliver cost savings for the full year of GBP 12 million. So profit from trading operations was GBP 91 million. Central costs and net finance costs were in line with last year and that leaves profit before tax at GBP 82 million. So turning now to look at profit from trading operations in a bit more detail. With sales in line with last year and total gross margin increasing by 100 basis points, gross contribution for the group increased by GBP 6 million to GBP 383 million. Travel achieved a margin increase of around 140 basis points, driven by mix. And in the High Street, margin increased by around 80 basis points, driven by category mix management, representing around 60% of the increase with buying, sourcing promotional and markdown management being the balance. We expect further margin growth in both businesses in the second half. In terms of cost and trading operations, as we continue to grow Travel, the group sees an increase in costs. This reflects the higher rents, rents being based on turnover, new stores in both the U.K. and internationally, and our combined investment in service and stores. However, across both businesses and all cost lines, we remain focused on cost efficiency and cost management. In High Street, we continue to identify cost savings as part of our cost efficiency program. For example, in the half, we saw savings from rent at the end of the lease and continued productivity gains in stores and distribution centers. The cost base in High Street remains substantial at around GBP 300 million, and we continue to see opportunities for further efficiencies. So turning now to the cash flow. We have delivered a free cash flow of GBP 39 million in the period compared to GBP 44 million last year. Free cash flow is lower mainly due to the higher CapEx spend in the half, relating to our continued investment over the last 6 months, particularly in Travel. During the half, we opened new stores in, for example, Singapore, Rome, Gatwick South and St Pancras. The working capital cash pattern is similar to last year, and like last year, we expect most of these to reverse in the second half. Most of the outflow, including the increase in the half, reflects the seasonality of the business and our continued investment in new stores from our opening program in the U.K. and internationally. So if we look at net debt, the group continues to have a strong cash position with a small net overdraft of GBP 4 million after the GBP 9 million of share buyback. In addition to the GBP 39 million of free cash flow generated, the group have seen a net cash outflow in relation to nontrading operations, which includes last year's final dividend of GBP 37 million, net ESOP trust purchases of GBP 5 million and pension deficit funding of GBP 2 million. During the half, we also acquired cultpens.com, which Steve will discuss later in the presentation. We continue to see the cash generative nature of the High Street and Travel businesses as one of the group's strengths and anticipate full year free cash flow generation of around GBP 102 million, with a net debt of around GBP 8 million. And so to the balance sheet. We have a strong balance sheet with total net assets of GBP 202 million, GBP 15 million higher than at last year-end. This reflects the cash generation of the business, further CapEx investment, the movement in working capital I've just described and the return of cash to shareholders. The pension liability remains at GBP 5 million, of which GBP 3 million relates to the WH Smith Pension Trust, the same as at the end of August 2017. The IAS 19 accounting surplus on that scheme was GBP 264 million, which remains unrecognized. So let's look now at the return of cash to shareholders. In the context of our strong balance sheet and high levels of cash generation, let me remind you of how we efficiently utilize our cash. Investing in the business and the opportunities, we expect to spend around GBP 50 million on CapEx this year as we continue to see opportunities to invest in both businesses, making acquisitions and at the same time, we have a consistent record of growing dividends and returning cash as part of our long-term strategy to create value for shareholders. We've increased the dividend by 10% and have now grown the dividend every year since the merger in 2006, and we have the share buyback. You would have noted in the earlier cash flow slides that we completed GBP 9 million of the buyback in the half compared to GBP 24 million last year. The lower buyback this half just reflects that there were a number and variety of investment opportunities, which we were considering and while doing so, held back on the buyback. There has been no change to our capital allocation policy. It remains our intention to do a buyback of up to GBP 50 million. So through a combination of dividends and buybacks, we will return over GBP 900 million to shareholders since the 2007 financial year, and since 2006, we've retired 40% of our equity. And so finally, to recap, here are the group key indicators, most of which I've touched on already, but let me just mention fixed charges cover of 1.8x. We expect this to be 1.7x, in line with last year at year-end. The higher cover at the half year reflecting the seasonality of profits, and the return of capital employed after capitalized lease cost, which is unchanged at 13% for the half year. Steve will now discuss operational performance.
Stephen Clarke: Thank you, Robert. All right, I'll start with Travel. And Travel delivered another strong sales performance, total sales up 7% and like-for-likes, up 3%. As I said earlier, this is the fifth year in succession of good like-for-like growth, and it reflects our ability to manage our space, develop our ranges and evolve our formats to best meet changing customer needs. Profit for the half was up 5% to GBP 41 million. And as you know, we've made significant investments in our Travel business over the past 5 years, in store environment, range development, staff training, sales store management and customer experience. We believe this investment has been a key driver of our like-for-like sales performance, along with the growth in passenger numbers. And importantly, we continue to see investment opportunities to drive the U.K. business forward in the years ahead, and I'll come on to some of that a little bit later. As always, we work hard at managing the costs and margins. Robert mentioned gross margin was up 140 basis points, driven mainly by category mix management. And looking to new space. We continue to invest in both new stores here and in overseas. We expect to open 15 to 20 new stores in the U.K. this year. And overseas, as I mentioned at the beginning, we're making particularly good progress, winning a record 26 new units since the beginning of the year. I'll come on to the details of that in the international a bit shortly. But first, let's have a look at channel performance. And in U.K. air, total sales were up 6% with like-for-likes up 5%. This is another strong sales performance in air, reflecting the impact of our initiatives and better passenger numbers. Sales continued to vary by location, but we're generally seeing good growth across most airports, both the big international ones and the smaller regional ones. In rail, total sales and like-for-likes were flat. The rail performance was hit particularly hard by the snow at the end of February, with many lines and stations closed for a number of days. In addition, we continue to see ongoing disruption in the upgrading of the network. And as in air, the underlying performance in rail was consistent across most of the country. In our hospital channel, total sales were up 9% with like-for-likes up 4%. Now this reflects our new store openings, including M&S Simply Food stores and our growth initiatives. This is particularly pleasing for us as it comes in a period where we've had to change our ranges and our promotional offers to reflect healthy eating guidelines from the NHS. In our international business, total sales were up 18% with like-for-likes up 4%, driven by a particularly strong performance in our recently opened stores. And of course, as you all know, as sales and passengers grew, our variable costs, particularly rent, increased also. So let's look at the U.K. in a bit more detail. And in our U.K. Travel business, we continue to invest to drive growth. This includes our ongoing work on space and category mix management, improvements to store layouts and environment as well as developing store formats that position us well for the future. In some of our largest airport stores, we can complete over 100,000 transactions in a busy week. As I mentioned in October, our large airport format is an area of major focus for us. All of our experience shows that we can deliver superior average transaction value and sales per passenger from larger footprints. And where larger stores enable improved customer circulation, our experience shows that we can drive higher customer conversion. So during the half, we launched a new larger store format in order to provide a compelling offer to landlords in order to give us additional space. The first store opened in Gatwick before Christmas and is delivering for us very pleasing results. On the screen, you can see what this new store looks like. It incorporates our most up-to-date thinking on store design and the larger footprint allows better category segmentation and improve customer flow. As we said in October, we believe this new compelling offer will be of interest to other landlords as they reconfigure their space. And we're already having some good success here. Both the store design and the sales per passenger that we're seeing in Gatwick South, they're helping us to renew and extend contracts, secure new stores or extend existing stores to create a bigger shop floor. Our brand-new store, this time in Gatwick North, opens in the summer. Meanwhile, our large store in Heathrow Terminal 3 is currently being redeveloped and will open in the next few weeks and it will be hotly followed by work on an extended large store in Heathrow Terminal 4. We believe this new format will continue to present new opportunities in U.K. airports going forward. And it's not just in air where we're investing. As you know, we already have a very strong presence in large mainline railway stations with our traditional WH Smith format. And we continue to invest here to provide new formats to landlords as they reconfigure their space. During the half, we've continued to develop our book offer and our Tech Express format, with enhanced departments including larger footprints, new fixtures, improved ranges and specialist staff in some of our biggest stores. You can see an example of this investment on the left-hand side of the screen, which shows you our latest store in St Pancras station in London, with new stores like St Pancras to try and gain additional space in mainline stations where we can. And I'm happy to tell you that we're making good progress with our standalone bookshops, with the latest one in London Bridge due to open in May. And you can see what that's going to look like on the right-hand side of the screen. And we've also been making good progress on our new format for smaller stations that combines our traditional WH Smith CTN format with a coffee offer, that coffee is typically very high margin. This new format can work economically in many stations that are currently too small for the traditional WH Smith. Our first 3 stores are now open, and you can see the latest store in Abbey Wood on the screen. This station is part of the new cross rail and passenger numbers are set to increase threefold to around 9 million once the full network is up and running. Now whilst these are relatively small stores, they do present a number of opportunities in small stations that we wouldn't have considered before. Our aim is to target these stations as the opportunities arise to build a meaningful network of this new format, and we'd expect to open around 50 of these over the course of time. So it will continue to be a focus for us, and we'll continue to keep you posted. And it's not just air and rail where we're developing formats for future growth. The hospital channel is an important and very profitable business for us. In the current financial year, we expect to open between 6 and 8 hospital units, including 2 big hospitals in Epsom and St Helier, both in Surrey. Food and drinks are very large part of the mix in hospitals and increasingly, landlords are looking for a customer offer that meets their healthy eating requirements. I told you in October that we developed a format within the WH Smith footprint that also includes an M&S food to go range and the WH Smith Coffee House offer, with an emphasis here on healthy eating. We have 2 stores open now after 6 months of trading, and we're seeing very good results. And over the course of spring and early summer, we'll open another 3 stores. We'll then review the progress with our partners and determine our rule out plan from there. So finally in U.K. travel, looking ahead. And whilst there's some uncertainty in the broader economic outlook, most airports are continuing to forecast low single-digit growth for the rest of this year and next, although, as always, the forecast do vary by location. In addition, we will continue to invest in new stores across all of our channels in U.K., and we expect to open between 15 and 20 new stores in the current financial year, while at the same time driving sales per passenger in existing stores through investments and improvements to customer offer and active space and margin mix management. And of course, we're not just getting growth in the U.K. so let's look at international. And our international business is profitable and growing fast. The WH Smith brand and offer continue to be well-received by both customers and landlords. And where we open new stores, sales per passenger continue to be strong. Total sales for the half internationally were GBP 59 million, this is up 18% versus the previous year, driven by our new stores. Like-for-like sales were up 4%. So far this year, we've had some really good success winning new business. I've already mentioned we've won 26 new units in total so far, which is our best tally to date. This includes a couple of very significant wins for us in Madrid and Rio de Janeiro, which I'll come on to in a moment. We've now opened all of our stores in Changi Airport Singapore where all 10 shops are now trading, and we're very pleased to have opened all 6 stores in Rome. At the end of the first half, we had 258 units opened overseas. Profit for the half was flat at GBP 4 million. I'd say this is a line with the prior year, but it does include the GBP 1 million of set up costs from opening these large airports stores during the half. So as I mentioned, we've just won a significant tender in Madrid airport. Madrid is a major European airport with over 50 million passengers recorded in 2017. This win gives us 8 shops across Terminal 4, which is the premium international IAG terminal. And we expect all of the units to be open ahead of the summer peak. Coupled with our recent wins in Alicante landside, as you know, we already have 2 airport shops in Alicante airside, and our shops in Tenerife airport, the Madrid win is another important step for us in Spain. And like all of our other shops in Spain, we will run Madrid directly ourselves. And in addition to Madrid, we're also pleased to tell you today that we've won another very significant tender which will see us open our first shops in South America, in Rio de Janeiro. We'll open this new stores as a joint venture with Duty Free Americas, we'll have an extended network of Duty Free stores throughout the region. As I'm sure you're aware, at Rio is a premium airport with over 16 million passengers. And we're really pleased with this new contract win. We've won 7 units in total, and we expect them all to open later this year. So at latest count, we're now present in 48 airports and 27 countries outside of the U.K., with Europe now the biggest territory with 68 units opened. And the 9 units won in Spain in the half will grow this region further. We continue to use our 3 operating models with 56% of open stores franchised, 38% directly run and the small balance, joint ventures. So finally, on international, looking ahead. And as we've said many, many times before, the international travel market is very large and in good growth. WH Smith is still a small player in this market with a small market share, but we are profitable and growing fast. And while it will require some investment in the near term, there's great potential for us to continue growing well into the long term. Our experience to date is that our brand, customer offer and ability to drive sales per passenger are attractive to overseas landlords. We'll continue to focus on and build critical mass in our emerging hubs while ensuring we go for all sensible opportunities to further grow the business internationally. Our recent investment in strengthening the leadership team will ensure that the international business gets the focus it requires as it continues to grow in both size and complexity. And as I keep saying, it is impossible to predict how many tenders will come onto the market each year, but we expect to continue winning between 20 and 30 units in an average year well into the long term. And we'll continue to use the 3 economic models, all whilst selecting the one that gives us the best outcome for a particular territory or a format. So that's it for Travel. Let's move on to High Street. And in our High Street business, like-for-like sales were down 4% with profit of GBP 50 million, down GBP 3 million on last year, but in line with latest guidance, reflecting last year's record performance and a challenging books market for us this Christmas with no big genre to match the humor book titles or adult coloring books of the previous 2 years. Our strategy of effectively managing our space and assets continues to produce strong cash generation and sustainable profits. Gross margin was well-managed, up 80 basis points in the half. We continue to invest in Stationery to grow the category, and I'll come on to that in a bit. And we continue to drive very good results from our cost savings initiatives. So we continue to deliver by effectively managing our mix, space and assets, tight cost control and active margin management, and we expect this to continue as the strategy, which has served us well over the years, remains unchanged. So let's look at that in a bit more detail. I'll begin with the usual margin and cost slides and then I'll move on to some broader category initiatives. And as usual, we've worked hard at managing the margin, delivering an improvement of 80 basis points in the half. As in previous years, the biggest contributor to this margin improvement continues to be category mix management, both across and within categories as a result of our active space management and the resulting growth that we're seeing in Stationery. Additional margin improvements have come from better trading terms and sourcing, improved markdown management in Stationery. So going on to costs. And as this year before High Street business changes, we continue to identify sustainable cost efficiency initiatives whilst also adjusting our variable cost to sales. During the half, we delivered savings of GBP 7 million, GBP 3 million ahead of plan. Our target of GBP 5 million for the second half remains unchanged, giving us a total of GBP 12 million for the year. Now as usual, these initiatives come from all parts of the business, for example, rent savings at lease renewal is a pretty big part of that, marketing efficiencies, productivity gains from our distribution centers and, of course, the variable cost to sales. Now even with years of savings, the High Street cost base is still substantial, and we continue to build a healthy pipeline of trials for future initiatives, particularly investing in technology to drive further efficiencies in the store's operating model. Now as usual, we'll update you on our 3-year guidance when we present to you in October. So let's move on to category performance and I'll start with Books. Now in Books, the market remains fairly stable. As we often say, publishing is the biggest driver of market performance for physical books and this Christmas was a pretty tough one for us. As you all know because -- by knowing about it so much, over the past 2 Christmases, we've enjoyed 2 publishing phenomena: adult coloring books 2 years ago, on the back of which we delivered record profits and a profit upgrade; and last year, the success of humor books, which helped us match those record profits. While there was nothing of similar scale this year, despite both the publisher's and our best efforts at an expanded range of humor books. And so it was a difficult Christmas for us in Books. That said, cookery did make a bit of a comeback with Jamie Oliver back at the top of the chart with his latest book, 5 Ingredients, and we grew our market share here as well on some of the other big selling titles such as David Walliams. Now our approach to the Books business goes unchanged. We'll continue to build on our areas of relative strength and drive the overall net profitability of the category by improving the efficiency of our Books' operating model both in our stores and across our distribution and supply chain network. In addition, we continue to trial improvements to our customer offer to help drive sales. So moving on to Stationery. And as you all know, Stationery is our most attractive category. It now accounts for half our High Street sales and 60% of store contribution. Stationery remains an important area of investment in our High Street business and a key driver of profit growth. And don't just think of Stationery in terms of our stores, as investment in our post-office partnership and our digital channels, both of which we see as good areas of future growth, will help drive stationery sales into the longer term. And I'll come on and talk about a couple of initiatives there shortly. So we've had a good half in Stationery with many of our initiatives driving good like-for-like sales growth. As you know, we reset our stores at least twice a year to optimize the return on every single meter drop in every single store. Stationery continues to be the main beneficiary from the space changes in the half with more space in many stores and better quality of space towards the front of stores. This additional space, combined with strong promotional offers and our increased focus on design, fashion and product quality, has helped us deliver a very strong performance in stationery during the half. These range improvements were a key driver of our seasonal performance with Christmas cards, wrap, gifting, seasonal WIGIGs, diaries, calendars and decorations all delivering a strong performance over the Christmas period. In October, we mentioned the trial that we're doing in our Holborn and Redding stores where we've made dramatic improvements in the shopping environment, store layout, fixtures and display to better highlight and showcase our stationery ranges. The results have been very good, and we've now extended the trial to 5 more locations in Cheltenham, Winchester, Thurrock, Trafford Centre and Salisbury. You can see an example of one of these refits in our store in the Trafford Centre on the screen. We'll continue to monitor these results closely, while at the same time, we're developing a trial for smaller stores as well as a lower-cost version. And of course, we'll keep you posted on the results of those trials. So turning now to a quick update on another area growth for Stationery, the post office. So post offices are an important area of investment in our WH Smith High Street business. As you know, we've been installing a number of post offices in our High Street stores over the last 18 months. And I'm happy to tell you that we now have 168 open within our branches. As I've mentioned before, while the post offices are not necessarily helpful to sales within -- for the stores in which they are located, particularly for backlist books, which is most of the space comes from, but they do provide a more sustainable financial outcome for these stores going forward. And we further strengthened our partnership with the post office by agreeing a new supply agreement through which WH Smith stationery will be ranged and sold in 175 directly managed [ co-run ] post offices. We're currently in the process of rolling this out, and we expect to have it completed by the end of the second half. And as you can see on the screen, there's a picture there of what this looks like in the post office in Leeds. Now this agency agreement will run for 5 years. And finally, on High Street, a quick update on our digital channels, starting with funkypigeon.com. And we've had another really good half year with strong performance overall of the key trading periods. Mobile continues to be the main source of traffic to the site, and our investment in web development continues to reflect this. Our extended gifting ranges performed particularly well, and our new fulfillment center in Guernsey enabled us to meet record levels of demand for both gifting and greeting cards over the key events in the period. And during the half, as Robert mentioned earlier, we acquired Cultpens. Cultpens.com is a leading online specialist pen retailer with over 18,000 products available on its website. This acquisition complements our existing stationery ranges in both our High Street stores and online at whsmith.co.uk, as well as enhancing our customer offer. So that's it for High Street, let me do a summary of all of that. So we've had another good half. Our strategy has been and continues to be very effective in creating value for shareholders. Good like-for-like sales growth in Travel has come on top of strong growth last year, and our U.K. business has further opportunities to grow as we continue to invest and actively manage our space. In addition, our International business is profitable and growing fast and we continue to win new business with a record period to date. Our growth in Travel, both here and overseas, means that Travel is now the larger part of the group, delivering 2/3 of our operating profit and as I said, with much more scope for future growth. Our successful High Street strategy remains unchanged. We continue to deliver on our margin growth and cost savings with more to go, and we'll continue to work on how we use our space to best deliver the strategy. Both businesses continue to be cost generative. Going forward, we'll invest in each business for the long term whilst continuing to be disciplined with our capital allocation in order to maximize the contribution from both businesses and best deliver value for shareholders. And finally, while the broader economic environment is challenging, we've made a good start to the second half of the financial year and we're confident in the outcome for the full year. And as you've heard, we're also increasing the dividend by 10%, which further demonstrates the board's confidence in the future prospects of the business for this year and beyond. So thank you.